Preben Ørbeck: Good morning and welcome to Aker Solutions presentation of our first quarter results. My name is Preben Orbeck, and I'm the Head of Investor Relations. Joining me today is our CEO, Kjetel Digre; and our CFO, Idar Eikrem. They will take you through the main developments of the quarter. After the presentation, we have time for questions. Those of you who are following the webcast can submit your questions via the online platform. And with that, I leave the floor to Kjetel Digre.
Kjetel Digre: Thank you, Preben, and welcome to everyone tuning in. Let me start our presentation with the main messages for today. First and foremost, I'm happy to see that, we continue to deliver solid financial results. The first quarter revenue was NOK 14.4 billion, a 25% growth from the same period last year with an EBITDA margin of 8.4%. I'm also pleased to see the financial performance of OneSubsea, delivering EBITDA margins of more than 20%. During the quarter, we signed new orders worth NOK 25.6 billion. Most of the order intake came from projects within Offshore Wind and CCS. I want to highlight some key features of these second-generation renewables and transitional energy projects in Aker Solutions. Firstly, they have balanced risk/reward profiles with shared incentives. And secondly, they have a joint focus on standardization to drive down costs. Furthermore, shareholder distribution continues to be a key priority for Aker Solutions. The Annual General Meeting approved earlier this week the cash dividend of NOK 3.3 per share to be paid in May, based on the fiscal year of 2024. We continue to have high activity across our business segments and locations, both in Norway and in our international hubs. And I want to thank all our 11,800 people for their hard work in this period. A few key highlights in the first quarter of the year with the start of the production on the Johan Castberg FPSO in the Barents Sea and the continued strong progress on the important Aker BP projects. Our legacy renewables projects are progressing for delivery from our yards in 2025. As we have said before, these projects have been both operationally and commercially challenging. And we are currently in discussions with clients and subcontractors to commercially solve these challenges. We also continue to have high activity within tendering and early phase studies, where we are maturing projects within oil and gas, decarbonization and renewables markets. And at the same time, we are closely monitoring the geopolitical situation and its potential impact on the supply chain and the broader energy markets. Next, I will take you through some of the operational highlights in the quarter. First, let me again begin with the Johan Castberg FPSO, where our engagement in the project started more than a decade ago. On March 31, a new chapter of this landmark development started with first production from the vessel in the Barents Sea. Johan Castberg has been an important project for Aker Solutions. It has shaped the everyday work of thousands of our people in engineering offices at our yards and for our people working offshore. Our close collaboration with Equinor has been central to this success. And I believe that, the Johan Castberg project showcases the strength, the resilience and the capabilities of the Norwegian supplier industry. As you saw from the introduction video, the Aker BP projects are progressing well, with high activity across our own and our partnering yards. I have previously referred to these projects as giant puzzles with the individual pieces coming from suppliers across the globe. In our role as the main integrator of these projects, it's critical to ensure that all the pieces come at the right time, with the right quality and safely, of course. To highlight some of the achievements in the quarter, I want to start at our Egersund yard, where the 7,000-tonne Hugin A utility module is taking shape. Here, the team was recently awarded the Safer Award by Aker BP for their groundbreaking work in implementing and using digital tools in planning and construction. I think, this is a great example of how we leverage technology to increase safety, productivity and efficiency in our yards. Following up in Verdal where the jacket assembly for the 22,000 tonne Hugin A jacket is progressing well, with the successful fourth and final roll-up completed in February. And the yard is also preparing for the start of fabrication of the Hugin B topside, drawing on the experience from the successful deliveries of Valhall Flank West and Hod. Finally, at Stord, which is our main hub for the assembly of the large topsides, activity levels continue to be high on both Valhall and Hugin A. On Valhall, the assembly started in mid-February with the arrival of the preassembled units from our partnering yard, Drydocks in Dubai. Drydocks is also progressing well on the railway module for Hugin A, with the last structural section being lifted into place ahead of schedule in late February. So all in all, I'm very happy to see how the partners are coming together to deliver these large projects and puzzles. We are leveraging the core competencies both at home and abroad, enabled by the use of new technology and digital solutions. Next, moving over to Life Cycle, which is delivering critical services for existing energy infrastructure, both in Norway and abroad. One example is the Bestla project awarded in the second quarter of 2024. This is a subsea tieback to the Brage platform. Working alongside our partners, OneSubsea and Subsea 7, Aker Solutions is responsible for preparing the Brage platform for receiving the oil and gas from the new subsea field. And I'm pleased to see that the project has got off to a good start, meeting an important start-up offshore milestone at the beginning of the year. Our performance on this project is very important as it highlights our joint capabilities within subsea tiebacks. Going forward, we expect a large portfolio of such projects to come on stream on the Norwegian continental shelf. An important milestone was also met on the Ormen Lange Phase 3 project at Nyhamna. In March, we officially handed over the onshore module for the subsea compression system to our client, Shell. The subsea compression system delivered by OneSubsea will enable increased recovery from the Shell-operated Ormen Lange field. The gas from the field will be transported via underwater pipelines to the Nyhamna plant. Aker Solutions has been responsible for the development of the onshore site, including landfall, civil works, module fabrication and total system integration of the module that's going to provide power to the compression system. I would like to point out that, Aker Solutions has been present at Nyhamna for more than 20 years through Phase 1, Phase 2 and now Phase 3. This engagement is a clear testament to the close relationship between Shell, Aker Solutions and OneSubsea. Another example from our Life Cycle portfolio is the West White Rose hookup and commissioning project for Cenovus in Canada. Aker Solutions has 3 important roles in this project. Firstly, we are responsible for onshore commissioning of the topside, which is fabricated at Ingleside in Texas. Secondly, we will deliver the marine operations for the GBS structure to the offshore site. And finally, we will be responsible for the offshore hookup and commissioning of the GBS and topside at the offshore site in Canada. This project also shows Aker Solutions range of capabilities, supporting our long-term customer, Cenovus, with bringing this important Canadian project on stream safely and efficiently. Moving over to our renewables portfolio, where we are progressing as planned on the Sunrise and East Anglia HVDC platforms, which will leave our yards in 2025. At Drydocks in Dubai, work on the 2 Norfolk HVDC projects is progressing well, targeting delivery in 2027 and 2028. For our CCS portfolio, we are in the final stages of execution for HeidelbergCement's carbon capture project, aiming for the first fill of captured CO2 during the second quarter this year. Our teams have also started work on the Celsio carbon capture and storage facilities in Oslo and for the second phase of the Northern Lights carbon storage project on the Norwegian West Coast. Using our 30 years of experience within CCS, we are playing a key role in the development of complete value chains for carbon capture, transport and storage in Norway. This takes me to the order intake. And as mentioned, we have announced new orders of more than NOK 25 billion in the first quarter. The order intake mainly relates to the second generation of renewables and transitional energy projects in Aker Solutions. There are several differences between these new projects compared to the legacy projects we are contracted between 2019 and 2021. Firstly, together with our clients, we have managed to negotiate commercial terms with balanced risk reward profiles and joint incentives for successful project deliveries. With this, we have moved away from traditional lump sum model to a model where both risks and upsides are more closely tied to our own performance. This means creating opportunities for win-win situations, both for us and for our clients. Secondly, we have managed to move from customized one-off projects to leveraging standardization across projects. One example is the Norfolk portfolio, where we are already seeing the benefit of design one, build several, reducing both engineering and construction hours on the second topside. The same applies for the CCS portfolio, where learnings from the first wave of projects are now being implemented at both the Northern Lights Phase 2 and the Celsio carbon capture and storage projects. I'm happy to see that, our focused approach in these markets leads to new contracts with clients who see the value of working alongside the supply chain to drive down costs. So let's look at our tender pipeline, which, despite the strong order intake in the quarter, remains high at about NOK 85 billion. The pipeline is dominated by opportunities in Europe, representing more than 90% of the tender volume. We continue to see a good mix between traditional oil and gas, transitional solutions such as electrification and CCS and renewables opportunities. However, the trend is that, the share of oil and gas in our tender pipeline is increasing. The growth mainly comes from our Life Cycle segment, which is currently tendering several long-term frame agreements, both in Norway and in our international hubs. And as I mentioned in my opening statement, we are closely monitoring the geopolitical situation, particularly with respect to tariffs and trade restrictions. We currently have limited direct exposure to the U.S., but remain cautious about the implications for our broader supply chain and potential delays in customer investment decisions. So to sum up, let's go to the general outlook for Aker Solutions. I'm pleased to see that, we continue delivering solid financial results, while positioning the company for the future. We have a substantial order backlog for execution in 2025 and onwards. Together with our partners, we focus on delivering predictable project execution. We are active in tendering across segments, which allows us to choose carefully the opportunities we pursue. And finally, our financial situation is robust. This gives us a strong foundation to develop the company and generate stable and solid returns for our shareholders. And now, I will pass the word to Idar, who will go over the numbers in more detail. Thank you.
Idar Eikrem: Thank you, Kjetel. I will now take you through the key financial highlights for the first quarter, our segment performance and run through our financial guidance. As always, all numbers mentioned are in Norwegian kroner, unless otherwise stated. So let me start with the income statement. The first quarter revenue was NOK 14.4 billion, up 25% from the same period last year. The underlying EBITDA was NOK 1.2 billion, with a margin of 8.4%. Our underlying margin, excluding the net income from OneSubsea was 7.2% in the quarter. The underlying EBIT was NOK 864 million, up from NOK 723 million a year ago. Net income, excluding special items, was NOK 640 million, representing earnings per share of NOK 1.35. And as Kjetel mentioned, on Monday, the Annual General Meeting approved a cash dividend of NOK 3.3 per share. This represents about 50% of the adjusted net income for 2024, and will be paid out in the beginning of May this year. Now, let's look at the cash flow. Our financial position remains robust with a net cash position of NOK 3.4 billion, up from NOK 2.9 billion last quarter. Operational cash flow in the period was NOK 0.8 billion, mainly driven by EBITDA contribution from our operating segments. In addition, we saw a reversal of working capital of about NOK 270 million. CapEx in the period was NOK 94 million, significantly down from previous quarters. The quarterly dividends from our 20% stake in OneSubsea was NOK 152 million. And lastly, we had a negative exchange rate effect of NOK 180 million. Now, over to our segments. For Renewables and Field Development, the first quarter revenue increased to NOK 10.4 billion. The underlying EBITDA in the quarter was NOK 870 million, with a margin of 8.4%. This was driven by strong operational performance in the oil and gas portfolio, while legacy renewable projects continued to be a drag on the margins. The order intake in the quarter was NOK 22.4 billion or 2.2x book-to-bill. This mainly relates to the previously mentioned contracts within offshore wind and CCS. And with this, the secured backlog increased to about NOK 49 billion at the end of the quarter. Based on the secured backlog and the market activity, we now expect revenue in this segment to grow between 5% and 10% in 2025. For the Life Cycle segment, the first quarter revenue was NOK 3.5 billion, representing a 16% growth from the same period last year. The volumes were slightly down from the fourth quarter due to lower offshore activity in the North Sea during the winter months. The underlying EBITDA in the quarter was NOK 234 million, with a margin of 6.7%. Order intake in the period was NOK 2.6 billion or 0.7x book-to-bill. The backlog remains solid at NOK 21.4 billion, dominated by long-term frame agreements and reimbursable modification project with long-term customers. Based on the secured backlog and market activity, we expect revenue in this segment to grow by about 10% in 2025. Moving over to the financial performance of the OneSubsea, here shown on a 100% basis translated into Norwegian kroner. In the first quarter, OneSubsea delivered revenues of NOK 10.3 billion. With the largest installed base of subsea equipment in the industry, OneSubsea is well-positioned to capitalize on the long-term up-cycle in the subsea market. EBITDA in the quarter was NOK 2.1 billion, with a margin of 20.4%. This represents an improvement of about 300 basis points from the fourth quarter last year. The company is progressing well on its synergy program with ambition to deliver annual cost savings of $100 million over time. Net income for the entity was around NOK 1.1 billion before PP&A adjustment. After this adjustment, Aker Solutions recognized NOK 190 million for our 20% share. The company has a current backlog of NOK 47.2 billion. And one highlight came in February when Var Energi awarded OneSubsea the contract to deliver complete SPS systems for upcoming developments in the North Sea. Lastly, OneSubsea has an attractive dividend policy and Aker Solutions received a quarterly dividend of NOK 152 million in the first quarter. This is in line with the announced ambitions for the full year. Now to sum up. In the first quarter, we continued to deliver solid financial and operational performance. As mentioned before, the legacy renewable projects have been both operationally and commercially challenging. These projects are progressing for delivery in 2025, and discussions are ongoing with both clients and subcontractors to solve these commercial challenges. Based on our secured backlog and market activity, 2025 revenue is expected to exceed NOK 55 billion. The EBITDA margin at this early stage of the year is expected to be between 7% and 7.5% in 2025, excluding net income from OneSubsea. As mentioned, OneSubsea has an attractive dividend policy with ambitions to distribute more than $250 million to its shareholders. At current exchange rate, this implies a dividend to Aker Solutions of more than NOK 0.5 billion. The CapEx for 2025 is estimated to be between 1% and 1.5% of revenues. Working capital is expected to normalize during 2025 and 2026 to a level of between negative NOK 4 billion and negative NOK 6 billion over time. Lastly, on Monday this week, the Annual General Meeting approved a cash dividend of NOK 3.3 per share for 2024, in line with our ordinary dividend policy. Thank you for listening. That was the end of our presentation. In a few moments, we will open up for questions.
A - Preben Ørbeck: Okay. To kick off the Q&A session, we will start with a question from Jorgen Andreas Lande in Danske Bank. He says, good morning, you reported a strong order intake in Q1 compared to the midpoint of announced awards. Can you elaborate on what is driving the high order intake?
Kjetel Digre: Yes. As we said in the presentation, we are happy with the order intake, both the magnitude and also the projects coming in. And the reason for the higher than midpoint order intake is, I would say, twofold. It's a growth in existing projects and frame agreements and it's also some smaller unannounced orders that came in, in the quarter.
Preben Ørbeck: Moving on to several questions from Njal Kleven in ABG. I will start with the first one. Did you make any additional legacy renewables provisions in the quarter? Or did you make any reversals?
Kjetel Digre: Yes. First of all, I think you will find information about our legacy renewable provisions in the annual report, Note #19. And at year-end, that was accrual of close to NOK 1.6 billion. So, no net changes or new provision or reversal in the quarter.
Preben Ørbeck: Second question from Njal. Cash taxes has been low in the last 2 years. How should we think about tax going forward?
Idar Eikrem: Yes. First of all, it's correct as stated here. The payable taxes are much lower than the P&L effect on a yearly basis and that is -- will also be the situation for the next few years to come. So we expect a low payable tax and a tax percentage that is currently around the Norwegian tax rate of around 22%.
Preben Ørbeck: Third question from Njal on the -- whether there was any D&A or finance items affecting OneSubsea in the quarter as the net income was weaker compared to the EBITDA.
Idar Eikrem: Yes. From the EBITDA, you need to deduct the depreciation and amortization and that is the main element from -- between the difference between EBITDA and net income. And on the finance cost, they are now cash positive. So there is no significant interest cost into the figures. So it's mainly the depreciation and amortization, including those in connection with the transaction that took place.
Preben Ørbeck: Fourth question from Njal was on the tender pipeline. It was close to flat quarter-on-quarter despite the large order intake. Could you add some color to what is in the tender pipeline?
Kjetel Digre: Yes. I think one of the dominating activities, just now is to work on the renewals of our frame agreements within our Life Cycle segment, with many of our key clients. So that's moving ahead. We do have also both other brownfield and greenfield initiatives, both in Norway and U.K., some of them linked to decarbonization and electrification. In the Wind segment, it's obviously slowed a bit down, but there's still quite some activity and we are engaged in different segments of that. Developers on the wind farm side, we do have some tender work and -- but then also the TSOs that are moving into getting the big infrastructure in place for Europe. And there, we are both involved in the topside part of it, but also with our Verdal yard, very relevant for many of the jackets that is needed for that. And then also, looking at foundations for the different components in a wind park.
Idar Eikrem: Just to add to that, maybe the total tender value is around NOK 85 billion, as we speak. And we are extremely happy that we see that there is an active market out there. And 2/3 of that is currently under the oil and gas, of course, dominated by what Kjetel said about, also the frame agreements and the renewal of the frame agreements within Life Cycle is an important part of the picture currently. And then you all know that, the order intake for the first quarter of NOK 25 billion, majority -- large majority of that was within the renewable and low carbon solution for oil and gas.
Kjetel Digre: Yes. I have to add hydropower is one of my favorites. It's still looking good and we have a lot of initiatives within hydropower as well.
Preben Ørbeck: Maybe a follow-up then from Russell, Upstream. Just on maybe the methodology, whether the NOK 77 billion in Europe is currently tendered, and also an additional question on the percentage of tendering you expect to win.
Kjetel Digre: Yes. It's a bit sort of the same kind of answer, I think, to the first part there. We are -- if you look at our tendering, it's dominated by, I would say, an inning around Norway and the North Sea, and then Northern Europe, but then also Europe itself. And then we have some activity around our international hubs like Canada, India, Malaysia, but that activity is a lot lower than the European one. So that's part of the answer. What do we expect to win, I don't want to come up with a number, but I want to reference a part of our improvement program, which is all about focusing on our core areas and our key clients. So that if we deliver on that, which I expect, then we will see our win rate going up.
Preben Ørbeck: Moving on then to a question from Lukas Daul in Arctic. If you can quantify the impact of the renewable legacy projects in this quarter and going forward?
Idar Eikrem: Yes. In terms of when we commented, it's a drag on the margin is, of course, contributed -- contributing with revenues on the top line. And since they are loss-making project, we are not having any net result coming out of those. And therefore, we are reporting that it's a drag on the margins.
Preben Ørbeck: Moving on then to a question from Martine Kverne in Nordea. The higher end of the revenue guidance for the 2 sub-segments implies a higher revenue than NOK 55 billion. Can you say something about the range and also the contribution from OneSubsea?
Idar Eikrem: Yes. When it comes to the NOK 55 billion, we have said, and there is one element that we have changed the guiding for in this quarter. We are now saying that we will most likely exceed the NOK 55 billion range and that's what you can when you add the 2 segments together and put Subsea on top.
Preben Ørbeck: Second question from Martine on the tender pipeline. What's the horizon of projects regarding activity beyond 2026, '27? Any significant orders projects in the NOK 85 billion that you want to highlight?
Kjetel Digre: Yes. As I've presented, we've a really high activity level now, and we do have a high activity within tendering. What we do see is that in 2026, the activity will go a little bit down. So a relevant comment there is that we have a very sort of flexible cost base. We can scale up and down based on the fact that we do have a lot of hires. A lot of our cost is actually procurement scope, which is then obviously project-dependent. So we are able to scale up and down and then we will see that we should stabilize at an acceptable level beyond that in a healthy mix between oil and gas and other type of projects.
Preben Ørbeck: Moving on to a question from Daniel Thomson in BNP. Subsea tiebacks tend to represent more discretionary spending versus greenfield projects, but can be high return. Do you see clients delaying tieback activity at current prices? And what price do you think activity -- this activity could be pushed to the right?
Kjetel Digre: The latter part of the question there is obviously to the developers, but we do know that they are operating with quite some healthy stress test, when it comes to the economy of their projects. We are, to my knowledge, far from that now. So that means that, this should continue. Another fact is that, there are mature continental shelves, Norwegian ones, for example. So we do see a very sort of clear focus on lifetime extension and taking the most out of near field exploration, which then triggers subsea tiebacks and topside mods. On the topside modifications, we work on that as part of these frame agreement renewals. And there we see that the focus is to do what I just said, but also to work together on productivity and get the cost down so that the threshold for actually making these business cases economic is lowered. And then the subsea part of it, we do follow through our Board involvement in OneSubsea. And so far, we can't say that we see any sort of hold up or that is pushed to the right.
Preben Ørbeck: Thank you. Moving on to a few questions from Victoria McCulloch in RBC. Can you elaborate -- let's start with, can you elaborate on how the Entr consultancy business is having an impact on the business today?
Kjetel Digre: Yes. As I said earlier on, we -- for our segments and different parts of the organization, we are really focused on key clients on what we know that we can deliver with precision and safely. So we do have some core areas that's the main focus. Entr is involved at a very early stage to key clients, but also others. So what we do see from that is that we learn a lot about the broader energy market where we do focus like in Norway and Europe, but also elsewhere. So these are sort of fully reimbursable studies where we can really learn both about ourselves, but also the energy market in the different regions globally.
Preben Ørbeck: Second question from Victoria McCulloch. Are there any key milestones we should be aware of for the Aker B projects coming in the next 2 quarters?
Kjetel Digre: There's a lot of milestones in those puzzles as I call them. One important comment is that, those projects are really on track. I guess Aker BP could allude to more details on the projects themselves. But we do see that we will get some of the major sort of project components, field components out there this summer. And then obviously, 2026 is a hugely important year where these bigger platforms are approaching finalization.
Preben Ørbeck: Third question, maybe to Idar. On the CapEx, CapEx was low in the first quarter, but guidance is unchanged. What is CapEx being more focused this year? Or is there any seasonality that we should keep in mind?
Idar Eikrem: Yes. Thank you for the question. It was actually slightly below NOK 100 million, NOK 94 million. We have provided a guidance of 1% to 1.5% of revenues. We have adjusted our revenue guidance up. That doesn't mean that our CapEx is going up. That means that, the percentage of revenue is going down. And when we are using 1% to 1.5% of revenue is more to provide you with our guidance going forward. That would be a normal one going forward. We have had significant CapEx over the last couple of years, and we are now capitalizing on those CapEx, and are down to a much lower level in the range of 1% to 1.5% of revenues.
Preben Ørbeck: Thank you. Moving to a follow-up question from Lukas Daul on Kjetel's statement on the scale up and down. Does this mean you expect margin to contract if revenue declines?
Idar Eikrem: It's too early to provide margin guidance for '26, but we have a very flexible cost base. We do expect a lower activity level in '26 than what we are currently having and we are currently having a very high activity level as we mentioned earlier on here. But we have a flexible cost base through use of hide ins to use of subcontractors. So when business is reducing a bit, then we can scale back on those elements. And keep in mind, a large portion of our business is also EPC-related. And when we have lower revenues, half of the sort of EPC value is procurement. So procurement will drop, and then we do adjust the capacity to the elements that I talked about. Margins, we will come back to when we are ready with guidance for '26.
Preben Ørbeck: Moving on to a question from Russell in Upstream. After you have delivered the Aker BP projects, what's next for field development? Are you seeing any major greenfield oil and gas opportunities?
Kjetel Digre: The answer is yes. We are working on the known ones. And back to my comment earlier, now we're working together with our clients to make sure that the business cases becomes robust enough to actually sanction and move forward, working on those in Norway, U.K., but also out there in our global setup. And just the question is good, because we see that what we are doing in field development with projects like Castberg and others is relevant for also doing jobs differently. So when we now do work in Canada, for instance, on the West White Rose project, we bring our engineers, our project management, perhaps also construction management, but we do things on partnering yards. And that model is something that is, call it, exportable to the likes of Canada, but also elsewhere and not only offshore developments, because that kind of yard work and design work and management work is also relevant for a lot of the onshore work. And this is not only oil and gas. It's also the kind of capabilities and capacities you need to, in a safe and efficient way, also complete the big offshore wind projects that is coming towards us.
Preben Ørbeck: Thank you. Next question from Mick Pickup. What are the challenges that remain in the legacy wind portfolio? And is the outcome of the commercial negotiations a 2025 event or post delivery?
Idar Eikrem: Yes. The legacy wind project, we are going to deliver now in 2025. And as mentioned in the report, there is also outstanding commercial discussion with clients and subcontractors and our ambition is also to close out those in 2025.
Preben Ørbeck: Yes. I think that was what we had time for today from all of us here. Thank you for listening in, and goodbye.